Operator: (Operator instructions) Good day and welcome to the Eastman Chemical Company’s fourth quarter and year end 2009 earnings conference call. Today’s conference is being recorded. This call is being broadcast live on the Eastman’s website, www.eastman.com We will now turn the call over to Mr. Greg Riddle at Eastman Chemical Company Investor Relations. Please go ahead, sir.
Greg Riddle: Okay, thank you Kelly and good morning everyone, and thank you for joining us. On the call with me today are Jim Rogers, President & CEO, and Curt Espeland, Senior Vice President and Chief Financial Officer. Before we begin I’ll cover three items. First, during this call you will hear certain forward looking statements concerning our plans and expectations for first quarter and full year 2010. Actual results could differ materially from our plans and expectations. Certain factors related to future expectations are or will be detailed in the Company’s fourth quarter and full year 2009 financial results news release, on our website, and in our filings with the Securities and Exchange Commission, including the third quarter 2009 Form 10-Q and the form 10-K to be filed for 2009. Second, except when otherwise indicated, all financial measures referenced in the call and in the slides accompanying the call will be non-GAAP financial measures, such as sales revenue, operating earnings, and earnings per share that exclude restructuring related items. A reconciliation to the most directly comparable GAAP financial measures and other associated disclosures, including a description of the restructuring related items are available in our fourth quarter and full year 2009 financial results news release and the tables accompanying the news release. Lastly, we have posted slides that accompany our remarks for this morning’s call on our website at www.investors.eastman.com. With that I’ll turn the call over to Jim.
Jim Rogers: Thanks, Greg and good morning everyone. Thanks for joining us. I am going to start out on slide three. We are going to begin this morning by taking a minute to read you a few of our major accomplishments in 2009 if I could. And 2009 was a difficult year in many respects with a lot of volatility. But across our company I think we really did enough standing job of handling that volatility to deliver solid results. Cash generation was a priority for us as we mentioned throughout the year, and we generated over 300 million of free cash flow. This is our best free cash for generation since the year 2000 and Curt will give you more details in just a few minutes. Our flexible cost structure enabled us to respond quickly to the recession and we reduced our cost by 200 million. This is reflected in our earnings for the year in the fourth quarter. We’ve made progress on our growth initiatives, we entered into a JV with SK for adding acetate tow capacity in Korea to serve the growing demand in Asia, and a new capacity will be up in running by the end of this quarter. We’ve added both new-monomo [ph] and polymer capacity for our Tritan copolyester, and we’re pleased with the startup there, and we’re able to meet the growing demand we’re seeing. And we also continued to expand our Regalite’s facility in The Netherlands, increasing capacity by 30% in 2009 to keep up with that demand. Despite the difficult global economic environment, our fiber segment delivered a record earnings year, topping a previous record they set in 2008. And we did a great job on safety, something we all (inaudible) to see that much of, but in 2009 we had our best ever OSHA recordable injuries rate, reducing injuries by 40% from 2008, building on our reputation for excellence and safety. So we’re well positioned to continue generating strong cash flow and to grow our core businesses. Next is an update on how we did against the corporate outlook statements we gave you both on our last call in October and during our Investor Day in November. This is something I do on each call, and my intent is to hold us accountable for the expectations we give you. First on full year EPS, we told you in November we expected this to be approximately $3.50 and this implied EPS for the fourth quarter or just over a $1.00. Excluding asset impairment and restructuring charges in both periods and other operating income in 2008, we were slightly above expectations and I will talk more about that in a minute. We also said that the cost reduction actions we have taken would be evident in our results, and they are, and on cash we told you we would build on the free cash flow we had generated through nine months including generating more than $100 million in cash from working capital for the year and we did that in the fourth quarter. Now on to the financial results for the fourth quarter. Revenue was up slightly as higher volumes more than offset lower selling prices. This is the first quarter we have seen positive year-over-year volume comparisons in two years from the fourth quarter of 2007. The design that we are beginning could be a rebound in volume which we expect will continue in 2010. Selling prices were down due to the global recession and decline in raw material and energy costs. Operating earnings increased significantly mainly due to the higher volume that I mentioned, lower costs for raw material and energy and the cost reduction actions that I talked about. Moving on to the full year comparison, sales revenue was down (inaudible) to lower prices and volumes. Prices fell largely due to lower raw material and energy costs; volumes were down due to the recession. Earnings declined, but given the severity of the recession I would say they remained pretty solid. EPS declined just under 20% which when compared with previous recessions, is a significant improvement. For example, from 2000 to 2001 our EPS declined by over 70%. The portfolio actions we have taken to strengthen our core businesses along with the cost reduction actions we took in '08 and '09 led to much improved earnings in this recession compared to the last one. Now to the segments beginning with Fibers. As many of you know Rick Johnson have led Fibers since 1996 and so he’s seeing the impact that recession is going to have on this business. He calls Fibers recession-resistant but not recession-proof. And then in 2009 Fibers recession-resistant lead to new annual record of operating earnings topping last year's record, so kind of it begged the question, what's it take to be called recession-proof? Higher selling prices were offset by lower sales volume and the volume decline coming in the acetyl chemical and acetate tow product line. For tow, the decline was more in the second half of the year due to the recession and the cigarette tax increases that were implemented in the US and Europe. Looking ahead to 2010 Fibers is well positioned for another strong year, demand should begin to rebound as the global economy recovers. We also expect our acetate tow JV with SK in Korea to start up in this quarter, and there will some costs associated with that as we qualify material with our customers. So we roll it altogether, we expect 2010 earnings to be somewhat below 2009 but remain very solid. Next up is CASPI, this is another business setting record in a difficult economic environment. Fourth quarter with earnings of 77 million was the best fourth quarter ever, and this follows a record earnings as reported in the third quarter. Volume was up 15% in the fourth quarter due to the demand recovery while prices declined, as I discussed earlier. For the year, operating earnings increased as lower raw material and energy cost and cost reductions more than offset lower volumes from prices. Looking forward to 2010, they have a chance to set a new record for operating earnings above the 242 million that reported in 2007. The biggest headwinds is the higher raw material and energy cost with more than 50% of the revenue in specialty product lines, the higher cost will impact their margin. Improving volume is the biggest challenge and we think we are in the early stages of seeing that improvement assuming the economic recovery continues CASPI is set up for another strong year. Performance chemicals and intermediates is next PCI. Operating earnings improved in the fourth quarter due to lower raw material and energy cost, higher volumes and lower cost per unit due to higher capacity utilization. For the year operating earnings declined primarily due to lower prices and cost related to reconfiguration of our Texas facility during the second quarter. I would also point out that for the full year PCI earned their cost of capital and this is much different from their results in the last three sessions were in 2001 their operating earnings were only $13 million for the year. We’ve talked about the actions we've taken the list of trough [ph] in this business and 2009 is evidenced that we've been successful in this sector [ph]. Looking forward in 2010, we expect raw material and energy cost to increase pressuring margins, we also expect sales volume to increase as the global economy improves. So as a result we expect PCI operating earnings to be up versus ‘09 approaching 100 million. Next is Specialty Plastics. With their results in the fourth quarter they now price to choose successive quarters with double-digit operating earnings. Fourth quarter earnings improved primarily due to higher sales volume and we’ve consistently said the key to improvement in this business is higher volumes. Fourth quarter was the third successive quarter of volume improvement for Specialty Plastics. While demand growth is still slow for the industry overall and number of copolyesters is going faster than the polycarbonate, acrylic and PVC to name a few of the things we compete against and the things were displace [ph]. For the full year operating earnings declined mainly due to lower volumes and prices driven by the recession. Looking forward to 2010, as I mentioned earlier the Tritan monomer and resin facilities were up and running and we are pleased with the startup, and with the facilities now up and running, especially plastics, will have additional fixed costs of more than $7 million per quarter, about $30 million for full year 2010. Some of that new from outside the company, some of that just re-allocated costs within the company. This all occurs if they ramp up their volumes. And despite these costs we expect operating earnings, especially plastics to be around $40 million for the year and they are well positioned to grow from there going forward. Finally performance polymers. In October, I said the fourth quarter was going to be ugly for performance polymers and it was. Loss in the quarter was due to the operational challenges we have had in South Carolina and the shut down we took to address them as well as depressed demand due to continued difficult market conditions. The full year loss was also due to the operational issues in Carolina as well as lower selling prices. Clearly we aren't happy with the results in this business, and we are taking no redirect actions to improve their performance. To remind you, we said we have two issues, operational performance and upgrading our commercial footprint in markets we serve. I think we can check the box for the operational. The shutdown in Carolina during the fourth quarter went well, and we have now demonstrated that it can run at full rate, a Class I material; that's good news. Now with the progress on that, we can now address our commercial footprint and improve our mix of customers. We expect these actions will lead to a much smaller loss sequentially and for the full year in this business. That brings me to our guidance. We are coming in the 2010 with positive momentum given our results for the last couple of quarters. We are in the early stages of volume improvement and expect that will continue as the global economy improves. While we had a headwind of about $40 million year-over-year from the reversal of extraordinary measures to reduce cost in '09, namely across the board 5% pay reductions that we then restored in December. We will continue to benefit from over 150 million of cost reduction action we've taken in other areas. And I would add that by yearend our headcount was down 2% from our Spring [ph] restructuring level, and for 2010 we expect attrition to continue to run ahead of hiring. The headwind that we’re already seeing here in January is higher raw material and energy costs and we expect on average for the year these costs will be higher than they were in '09. Adding all that up, we expect our first quarter EPS to be slightly above our fourth quarter EPS from $1.14, and we expect our full year 2010 EPS to be 20% above our 2009 EPS, up $3.63. On top of that, we expect revenue from an acetate tow license for PCI in the first half of the year could be first or second quarter, we'll see, and we estimated we’ll have about $0.07 per share impact. One last point at our Investor Day in November, we made the case for why we can achieve a 20% compound annual growth rate for EPS from 2009 to a recovery, which we estimate would be in 2012. Given the results we reported in '09 and our expectations for 2010, we believe we are on track to deliver that growth. Employees throughout our company are clear on the role in delivering that EPS growth, and we are committed to making that happen. Now before I hand it over Curt, I would like to continue my practice of taking a minute to highlight one of Eastman's executive. In this quarter, I choose Norris Sneed, our Chief Administrative Officer who had been with the company for 31 years. Norris heads our Human Resource function, our Information Technology group as well as manufacturing support worldwide. He and his people are instrumental in the swift actions we took to mitigate the recessions intact over this past year. It is supported by Parker Smith in manufacturing, Keith Sturgill in IT and (inaudible) in HR and together they accomplished a lot. So if you like to cough [ph] in your achievement in ‘09 or just one of the leader who deserves the kit of our collective hat [ph]. Now I’ll turn it over to Curt.
Curt Espeland: Thanks Jim, and good morning, everyone, and thanks for your interest in Eastman Chemical Company. I am going to start by looking at our financial highlights for the year on slide 14. Our cash from operations of $758 million represents a terrific result in a difficult environment. Working capital was a source of cash having being reduced by $118 million and this is the line of our projections from early in the year. We also generated about $125 million in positive cash flow through a change in tax accounting method to accelerate the timing of deductions for manufacturing repairs expense which we discussed in the third quarter. Our cash from operations also reflected $181 million use of cash for a pension contribution of which $150 million was made in the fourth quarter. Moving next to capital expenditures in 2009 we cut our CapEx by more than half compared with 2008. Second half 2009 capital expenditures were at a significantly lower run-rate then first half due to the completion of several growth projects. After also excluding our dividend of $128 million our free cash flow was $320 million in 2009. As Jim mentioned this is the best annual free cash flow we have generated since 2000 and is a testament to our focus on cash throughout the year. The result is that we are in a solid financial position having reduced net debt by $256 million and our net debt to cap ratio is at 35%. Turning to slide 15, as we continue to generate cash we remain committed to returning cash to stockholders. In 2009, our dividend was $128 million or $1.76 per share and our yield continues to be in the top quartile of peer companies. We’ve paid a dividend year, we have been a public company and management remains committed to it. In addition, during the fourth quarter, we repurchased $21 million of shares. As result, our shares outstanding at the end of 2009 was the same as it was at the end of 2008. Going into 2010, we have $96 million remaining on our current stock authorization and remain committed to repurchasing shares over the coming quarters primarily as a means to offset dilution. We are also focused on our debt structure which remains attractive as shown on slide 16th. In the fourth quarter we improved our position with a $250 million ten-year bond at a 5.5% rate. The 5.5% rate is the best we’ve achieved with this tenure. The order book was six times oversubscribed and the quality of the order book was outstanding. With the success of the bond offering, we decided to put a similar amount of cash to work in the quarter, making a $150 million pension contribution and paying down a European credit facility. With this transaction we have added a nice 2019 layer to our already attractive debt ladder and we have funded debt or debt-like obligations that would otherwise have to address over the coming next few years. Looking next at cash we’ve put to work in our organic investments. We’re beginning to see the returns from these investments we have made over the past few years. As Jim mentioned earlier, in 2009 we expanded our Regalite capacity and we’ll see the benefit of that in the CASPI segment starting in 2010. In the fourth quarter 2008, we added acetate tow capacity in U.K. and our fiber segment continues to benefit from that investment, which is reflected in their record 2009 results. We have taken a number of actions to transform our South Carolina PET facility, and with the improved operation of this facility we expect to see their results improve significantly in 2010. And our Tritan monomer and resin manufacturing facilities were up and running as of the beginning of the year, and we have aggressive schedule for filling out that resin facility over the next two years. This would be one of the key components that will lead to improved performance especially plastics, particularly in 2011. In 2010 we are also looking at M&A opportunities with a focus on the four areas of emphasis you see listed on slide 18. One example of how we look at these opportunities is the venture we have with SK in South Korea to acquire SK’s tow and other manufacturing assets and then expand the tow capacity to a total of 20,000 met tons, which is about a 15% capacity addition for Eastman. This expands our footprint in a differentiated product line in a growing region. And we expect the acquisition to be completed and the capacity online by the end of first quarter. Another example that combines two of these focus areas is the acquisition we completed a few weeks ago. We acquired a small specialty polymers manufacturing facility located near Shanghai. This is right in our sweet spot. It will support our Ensure product line in our CASPI segment. Ensure is a sustainably-advantaged cellulose ester used in the coatings for the packaging and consumables markets. We continue to explore other opportunities that also provide differentiated products and advantage feedstocks to complement our existing sustainably-advantaged product lines. Turing to some corporate items to assist with expectations for 2010, starting with depreciation and amortization, which I expect to increase to just under $290 million in 2010, as we have added some new manufacturing facilities that come online. Pension expense should be slightly higher due to the lower discount rate and historical performance of our assets mostly offset by the benefit of the pension contributions in 2009. And if we do make pension contributions in 2010 at this point I expect it will be less than $25 million. Our interest expense is expected to be higher. This is the combination of the lower capitalized interest as manufacturing facilities have come online and thus reduced our capital expenditures, and the new debt issue that I’ve mentioned. The tax rate is expected to come down in 2010 to approximately 33% which is about normal for us. Remember the rate was higher in 2009 primarily because of the change during the second quarter in the tax accounting method to accelerate the timing of deductions for manufacturing repairs expense that I mentioned earlier. The reversal of the tax credit related to the Beaumont, Texas facility the project during -- which we discussed in the third quarter. Our capital expenditures for 2010 are planned to be between $250 million and $275 million. Our maintenance level is now around $200 million and we plan to spend $50 million to $75 million to untargeted growth initiatives. This growth spending will be stage relative to the underlying economic recovery and target markets. And we remain focused on optimizing maintenance capital much like we did in 2009. When I consider our expectation for earnings growth in 2010 plus these items I expect our free cash flow in 2010 will be above $100 million. This includes a build in working capital due our expectations for higher raw material and energy costs and higher sales revenue. We also expect to see a more normal working capital pattern for the year including a build in working capital in the first quarter. In conclusion, Eastman is well positioned for growth in 2010 and beyond. We are evaluating all options for creating value, organic investments, M&A share repurchases and our debt profile. We will continue to be disciplined as we approach growth as we've been demonstrative. Thanks again for your attention, and with that I’ll turn it back over to Greg.
Greg Riddle: Okay. Thanks very much Curt. And this concludes our prepared remarks. Kelly, we are ready for questions.
Operator: Thank you. (Operator instructions) And we will take our first question from Frank Mitsch with BB&T Capital Markets.
Frank Mitsch – BB&T Capital Markets: Good morning, gentleman.
Jim Roger: Good morning.
Curt Espeland: Good morning.
Frank Mitsch – BB&T Capital Markets: Nice end to the year. Jim, you mentioned that you were pleased with how the PET facility was operating at the end of the year. I don’t think it was at that sort of level when you had the analyst day, can you tell us how long that facility has been running smoothly and why you are very confident that you are not going to have this sort of operational issues that you have in 2009 there?
Jim Rogers: Maybe I am going on that on a lame, because it’s not like it has been running from months at that level, but it has just recently trying to come up and demonstrated the full rate that we expected. So, all the way up to the level we wanted that I think we’ve talked in the past about 525,000 ton level, and it has been -- we are pretty confident that if I can do that. We fell good too that the first test quality of the product we were announced was very, very high. So, we think we’ve got it. Yes, the comfort level would be even higher two or three months from now when we’ve demonstrated we can do that when we need to do it. I realize all this stuff about the operations running well, I don’t change anything about the underlying PET market and now (inaudible) that looks. But we said we were going to take things in order, the first one was operational and yes, I said that we have got the (inaudible) there.
Frank Mitsch – BB&T Capital Markets: All right, great. And then I think I just wanted to clarify, did you say that you were expecting a smaller loss in that business for 2010, so still red ink?
Curtis Espeland: Yeah, I think that’s probably the best guess right now, and if you think about how that business usually plays out over the year, your second quarter is your best quarter, and I think that’s in tradition almost every year. But we know the first quarter is going to be in red again. You know what's going on in that market, we had a big competitor (inaudible) on additional capacity, and we still got a lot of work to do upgrading that commercial footprint, and so if you think we push down into some of the lower value added segments of the market and we were having operational issues on the flip side, that’s some opportunity now that we can try and upgrade that mix.
Frank Mitsch – BB&T Capital Markets: Okay, great, and I’d like to give you the opportunity to address the decision-making between share buyback more than just offsetting dilution versus M&A opportunities out there. How are you weighing both right now to current marketplace?
Jim Rogers: Well, I mean, we are doing a little share buyback, I mean, what you’d like to do is give your acquisition program a chance to see if you can latch on to some good opportunities out there. In the long-term that’s the best way, in fact the only way to really grow your company is the organic and inorganic growth, buying back stock doesn’t really grow your company. And if you think about long-term value creation that’s probably your highest task. And so you would say that the higher priority to try and make acquisition tap and as well as, can we drive some more product launches like this Tritan product. The issue is we’re going to be very disciplined, Curt, can comment on this too if you want but we're not seeing as many opportunities. We are looking at a few things. They are not sizable but we're going to be patient, we don’t have do an acquisition, we don’t have to spend the money. We'd like to do that but it’s got to literally good to us if we are going to let go some of the money.
Frank Mitsch – BB&T Capital Markets: Alright, terrific. Thank you.
Jim Rogers: Yeah.
Operator: And we’ll take our next question from Kevin McCarthy with Bank of America/Merrill Lynch.
Kevin McCarthy – Bank of America/Merrill Lynch: Yes, good morning.
Jim Rogers: Good morning.
Kevin McCarthy – Bank of America/Merrill Lynch: Jim, CASPI continue to post very strong results here. I think you had commented that you expect higher volumes but put possibly some margin pressure due to cost fear. So netting that out, what should we expect for the trend in CASPI operating income through 2010?
Jim Rogers: I’ll tell you, you’ll love that very much. So it's -- we got to admit keeping surprise though, sometimes here to tell strong it's been. What an excellent product line, both coatings, involvements [ph], adhesives. I said in the remarks that, they’ve got a shot and I think a pretty good shot of beating the $242 million record year they had before. But it's just logical to expect a little pressure on the margins, whenever you have a specialty business you don’t really price off a raws directly. And so, yeah, you got a little help in the past when the raws came off and now you are getting squeezed a little bit on the margins as raws and energy had back up. So that’s kind of why we still out here. That is the logical expectation, but we do still see volume growth particularly around the world and the regions. And they look at how it plays off. I imagined you will have a pretty strong start for the year and then we’ll just see how the key forces play out, the volumes that are back and pressure on spread.
Kevin McCarthy – Bank of America/Merrill Lynch: Okay, and then a financial question if I may. Your net debt picked up only if $38 million having injected $150 million in to the pension plan and with the improvement in EBITDA your net debt to EBITDA is just about one times right now. And Jim I know earlier in your career you used to running much, much different balance sheets. I am not suggesting you want to return to that territory, but perhaps if you could comment on what you would view as the optimal leverage for Eastman’s balance sheet in over the next year or two assuming an expansionary economy?
Jim Rogers:
Curt Espeland:
Kevin McCarthy – Bank of America/Merrill Lynch: Thank you.
Operator: And we will take our next question from Jeff Zekauskas with JP Morgan.
Jeff Zekauskas – JP Morgan: Hi, good morning.
Jim Rogers: Good morning.
Jeff Zekauskas – JP Morgan: A couple of things, in the cash flow statements you had a benefit from differed income taxes of 185 for the 12 months?
Jim Rogers: Correct.
Jeff Zekauskas – JP Morgan: If you have to pay that out relatively soon or do you hold on to some of that?
Jim Rogers: We will hold on some of that. What that really reflects is two things, one is that tax project that I mentioned earlier. And what you get is, you get the benefit of that program going forward. Now overtime, if that lowers your depreciation expense for tax purposes, but you continue to use that same philosophy as you look at your maintenance costs in 2010 and beyond and then the second factor is just the impact of your pension contribution. And so, right now we don’t expect a large pension contribution in 2010, so you wouldn’t get that benefit in 2010, but you will have future pension contributions that will, as you know, are very tax efficient use of cash.
Jeff Zekauskas – JP Morgan: So will you have a differed tax, use of cash next year, and if you do how much?
Curtis Espeland: Right now what I’ve challenged our tax department is to continue to see a slight deferred tax benefit in 2010. We'll see how successful they are but our target is not to have any significant cash flow, outflow of that deferred tax item.
Jeff Zekauskas – JP Morgan: Okay. And in terms of the assets impairment charge, the 179, so does that reflect spending that was done in the past that – 179 million worth, that’s now written down?
Curtis Espeland: That’s correct. That represents a cash that was spent in 2009 and prior to this decision.
Jeff Zekauskas – JP Morgan: Okay. And what was that exactly spent on?
Curtis Espeland: Well, it’s – the more we spend it on was a combination, we purchased some land, we purchased some assets from Terra, the methanol assets and ammonia assets. It relates to some speed work that we’ve been working on to design that project, engineering work and the like. So it’s those kinds of items, and now we have a team looking at trying to monetize as best we can on those investments. There has been a variety of people who have expressed interest in it, so we're going to run a diligent process to do with that assets.
Jeff Zekauskas – JP Morgan: And then lastly in CASPI I think you guys were up 45 million in EBIT, so if you had to break that up into two pieces, say raw materials and cost reduction, how would you do that?
Curtis Espeland: I don’t know if I want to get into that business by business, Jeff, I mean, we kind of size the cost reductions for you across the whole company. I think in Investors Day, we said we’d expect to hold on to 100 pretty much in the bank, and that there is another 50 to 60 that probably moves up and down with volume. We‘re probably going to do a little bit better than that 100 in terms of what we hold on to, and mainly because of the nevertheless attrition run ahead of hiring, so labor cost will be a little better than may be we thought when we said that. And CASPI gets its fair share of that in terms of cost improvements on a typical allocation basis. And then the rest would really be spread.
Jeff Zekauskas – JP Morgan: Okay, thanks very much.
Operator: And we’ll take our next question from Jason Miner with Deutsche Bank.
Jason Miner – Deutsche Bank: Thank you, good morning.
Jim Rogers: Good morning.
Jason Miner – Deutsche Bank: On the PET and the IntegRex, now that you’ve seen it run even if for a short time, I wonder if you guys would mind revisiting the economic advantages that you think it has where it sits on the cost curve and what your expectations are, even if the markets is tough?
Jim Rogers: Yeah, none of that’s changed. We are over there on the left side of the cost curve, the advantage side of the cost curve and it's mainly driven not just by the lower capital to get the capacity which is significant. But also just the lower energy it takes to make the product its advantage in a number of ways that, that’s builds up to a nice sustainability story. So this very strong product, that’s a product that comes out of the IntegRex process is just an excellent product in terms of the sustainability story admittedly selling in to a really dodging market. So I’ll just give you one example. We've recently gotten in to the Wal-Mart supply chain where there some of their private label product with this (inaudible), and one of the main reasons is -- its very much supports the sustainability store. So, yeah, it's delivering what we would want. The market easily is bad or worse than we ever though it would be.
Jason Miner – Deutsche Bank: Sure, just if I can press a little, I think back in ‘06 we discussed maybe half the cash cost. Do you guys have any estimate of what sort of difference between can sort of conventional PET and IntegRex cash costs side?
Jim Rogers: Well, I would say, I mean, Curt, my number is (inaudible) would you kind of confirm this?
Curt Espeland: Yes. I think we are still in that same ballpark of what we expected several years ago, no doubt.
Jason Miner – Deutsche Bank: Okay. It’s helpful. And then just a little bigger picture, yesterday we talked -- I think you guys suggested EPS recovery to be $6.00 plus and gave some details of the pieces. The comments you made this morning suggest a stronger outlook for 2010 and possibly 2012, so, has your view of recovery EPS improved, and could you just touch on maybe what elements have improved?
Jim Rogers: Yes, that's little tricky, because what we said when we tried to ballpark it for folks so that they could look a little longer than one year is expectations is six bucks after core business when you are back to the kind of the rates pre-recession rates. So that implied a volume level and implied capacity utilization probably in the low 90s. And so, part of what’s going through my mind is how much of this is the volume coming back a little faster, and maybe we were thinking in terms of fourth quarter stayed a little bit stronger et cetera, and how much of it is the businesses are just performing better, and in particular the mix of products in places like CASPI and just the acceptance of some of our specialty products and how well are they doing competing with other materials. So, I guess, that’s really hard for me to break out. I wouldn’t want people to go wildly optimistic and start moving along right to six bucks, just on the back of one quarter they came in. But, yes, we raised guidance slightly, didn’t we I mean last just November we were saying 20% higher than 350 now we are seeing 20% higher than 363. So it seems to me like we are holding onto the gain to getting, I would call them more margin although, in terms of the six bucks if you were going to move north of six bucks, it would be in terms of gaining. The big upside is remember that it’s how -- why did you spend that cash we are sitting on plus the free cash flow generation we're going to have of for these businesses, that’s what going to push you well above six bucks, but that’s what we do have to prove.
Jason Miner – Deutsche Bank: Okay, that’s very helpful. Thanks.
Operator: (Operator instructions) We'll go ahead and take our next question from P. J. Juvekar with Citi.
P.J. Juvekar – Citigroup: Yes, hi, good morning.
Jim Rogers: Good morning P. J.
P.J. Juvekar – Citigroup:
, :
Jim Rogers: Quality of our products and market position and growth being positioned in the right parts of the world, taking advantage of the Asia growth market. We sell within very, very savvy customers. So they are looking at everything, they are looking at the currency movement, remember our cost are pretty much based in dollars, others can be in other cost around the world. So it’s not that simple as just as a handful of suppliers because it’s often just a handful of big buyers. And yes, it’s a good marketplace but we sell a quality product, we compete very well, and we compete on things other than price, P. J. We don’t often get to talk much about it. But I got to believe we have some of the best customer service, technical service. We help our customers (inaudible) very, very well, and we work very closely with them to give them exactly what they need. I mean they are in a big cash business, and little things make a huge difference to them. So just helping them run their plants well, making the product work in their machine, that’s really key to us holding on to the value we create in that business.
P.J. Juvekar – Citigroup: Okay, thank you for that. And in PET, is that anything that is going on in that business that leads you to believe that the secular growth of PET market has slowed down?
Jim Rogers: Yeah. I think that’s what we say up there, I mean -- I am pausing because I am thinking, I remember with such confident eight, 10 years ago we talked about how faster PET market places is growing, it's growing double-digit. Well then it was growing high-single digits, kind of mid-single digits and now recently in this downturn I think we saw it flat and may be even off a little bit. So, yeah, I think the high growth days are behind it unless there is somewhat a breakthrough at least where the product has, I think it's going to starts slowing down. I still wanted to -- I think it's safe to say if you look longer term it has this good growth trajectory as most of the major chemical. The issue is that the barriers, the entry is so low that margins will stay under pressure.
P.J. Juvekar – Citigroup: If you take out the recession impact, what do you think is the secular growth rate now?
Jim Rogers: I don’t spend a lot of time thinking about it, honestly P.J. I am interested in North America, I am interested in a specific products we make mainly polyester [ph]. We have a sustainability store in and all I am thinking about right now is not the underlying market growth, I am thinking about how do we upgrade our position in the market. So that’s going to have a huge impact versus whether be underlying market growth grows at 3% or 5% or 6%. I mean it's going to be some kind of -- if you know better than me but it's going to be some kind of mid-single digit types rate for the foreseeable future. I think when you think globally but again our -- where our head is -- our head is we got to upgrade our commercial footprint in market segments we sell in to and that’s the best way to create value. And that’s the next step in the path we are on with our PET business.
P.J. Juvekar – Citigroup: Any thoughts Jim on disposing of US PET business?
Jim Rogers: Any thoughts of disposing of…of the PET business?
P.J. Juvekar – Citigroup: North American PET, yes.
Jim Rogers: Yeah, I mean what we’ve said P.J. I think it really hasn’t changed. We are fairly consistent. We have a game plan. Number one game plan was to get the operational issues behind us, I mean I am all about creating the value in that we got there in the key business. So I feel like that one would pretty much done on, and you know, you go with your surprise, but right now I feel it’s pretty good on operation. The next one. I don’t want to underestimate the challenge of upgrading into better segments within the PET world. So, instead of being in a sheet, you want to be more in carbonated soft drinks. For example, with your new products and that -- there is some work involved there and there are some time. And I think the real test, P.J. is going to come in the second quarter to see just how much our guys have been able to do about demonstrating to the markets that we got our act together now and we deserve out there a piece of those higher segment -- higher value segment. So, we are going to look at the second quarter; we are going to get the through the second quarter and see how we do. And then we will take a look and what we said all along is what we should do for, frankly, any business is to make sure you are highest and best owner of the business. And, but, right now (inaudible) has all around creating value and what can we do to improve that commercial footprint.
P.J. Juvekar – Citigroup: Great. Thank you.
Operator: And we will take our next question from Amy Zhang with Goldman Sachs.
Amy Zhang – Goldman Sachs: Thank you. Good morning.
Jim Rogers: Good morning, Amy.
Amy Zhang – Goldman Sachs: My first question is one of your major competitors signed a MOU with China to expand acetate flake and tow capacity, and hopefully in the next several years so, you are expanding capacity in South Korea and has supplied tow to supply to China, so what’s your view on the market supply demand balance in the medium term, and any potential impact from that potential capacity expansion from your competitor’s margin profile going forward?
Jim Roger: It’s a good question and it’s -- I guess I would start of by saying we are not surprised. I think we understand this market price extremely well. We know the history of expansions. We know the history of growth in the market in Asia, and we think it’s fairly well thought out, fairly disciplined marketplace. So we've added capacity in Korea, not just China but to serve Asia. Taiwanese is adding capacity in China again. They had done it before, expected. We don’t see major disruption in the marketplace. We think the market will absorb that and may or may not be the last expansion. So there may be more to come from various players including ourselves in terms of meeting the demand in the growing parts of the world.
Amy Zhang – Goldman Sachs: Thank you, and then my second question is, the fact that raw materials cost inflation 2010 it came for a little bit more, color and the magnitude of the cost increase for major segments. And also you have announced a series of award-based pricing actions since last July and August. But (inaudible) showed some of your major customers particularly on the painting coatings side expect a very modest input of cost pressure on their side in the coming quarters. Can you comment on the progress you have made on the pricing, I’m trying to know so what's your confidence level to gain for their pricing traction going forward, what are your major customers?
Jim Rogers: Well, that’s kind of what we were referring to when we said we expect to have some pressure on margins. When you look at some of our specialty products like the things that go into coatings, there may be some margin compression here, and that’s where that we think we're going to more than make up for in volume. That’s why we say we think CASPI can have a record year this year in 2010, but there is no doubt that the more special the products, the more likely you are to not be able to pass one raw material increases in price just as, you can be a little sticky when it goes to the other way. When you get to the more commodity products, that’s where the -- best way to handle that is with price and that’s what the market expects. They have transparency. They look through to your raw material. So you kind of have to take a specialty versus commodity. When it comes to the magnitude of the move, I’ll just give you; let me give you an anecdotal example as to why it's so hard to call. So we start the year propane it's about 10 and now we used propane feedstock for our access stream particularly down in Texas. We've seen it's higher but this adjustment in the month of January now. We've seen this high 1.45, I think last time I looked at 1.35 but admittedly [ph] January can be a volatile month because of the winter. But it's logical to expect raw materials and energy to move up and it's logical to expect a little bit of a squeeze which is what you’re finding [ph] on the specialty products like in the coatings on the margins. But overall, we kind of gave our guidance balancing the volumes as well as that expected squeeze because of the raw materials moving up. I can’t put a hard -- I can’t say several hundred million or something like that '09 to 2010, and we’ll just have to see how volatile it gets.
Amy Zhang – Goldman Sachs: Thank you. Very helpful.
Operator: And we’ll take our next question with Andrew Feinman with Iridian Asset Management.
Andrew Feinman – Iridian Asset Management: Thanks.
Jim Rogers: Andrew.
Andrew Feinman – Iridian Asset Management: Yeah. So could you tell me how much pension expense was this year?
Curt Espeland: Pension expense this year I think it’s going to around below 40s. So I think 42 or 43 Andrew is what we expect this year.
Andrew Feinman – Iridian Asset Management: What I meant, I am sorry when I said this year, still a little bit behind was 2009. What was it for the previous, for the year that it was 181 million in funding, what was the expense number?
Curt Espeland: The expense in 2009 is going to be roughly $42 million as I think --
Andrew Feinman – Iridian Asset Management: Okay. And can you please repeat what you said about the license you expect to sign this year because I --
Jim Rogers: Thanks, Andy because it’s not signed this year. What is it that’s a license that we wrote earlier; it’s actually the (inaudible) license that we wrote earlier and this would be the final payment as their plant gets up and running and it’s -- but it refers to a license that we’ve signed a few years ago. It’s just that final payment will come in. We haven’t had the revenue recognition of that yet, and that's when we will see whether it happens in the first or second quarter depending on when they meet (inaudible).
Andrew Feinman – Iridian Asset Management: So, there is still a possibility for you to sign the MOU this year, I mean you are working on it?
Jim Rogers: Yes, we are always working on the licensing, I mean, if you think about -- the market tends to look at stuff like that as a one option, it’s kind of go well, it’s just, you know, it’s a one-time thing, but year in and year out we have these one-time licensing deals either on the asset [ph] side or the asset deal side, and I look at it as a source of revenue, it’s not huge. We got a small licensing group, they more than pay their way, I mean, it’s a well run shop and just kind of count on them -- used to come in when they do. So in the first half of this year we are looking at probably an extra $0.07 on top of the numbers we told you from licensing.
Andrew Feinman – Iridian Asset Management: Okay. And I have one more thing. You said that regarding the $6, the extent to which you get above that depends on the free cash flow and what you do with it, but I just want to review real quickly when you gave that outlook, that target for 2012, for the segments you gave a range for each one, so for instance cash due is 250 to 300, and PCI was a 100 to 150, and I'll tell you rest of them. So when you add those ranges in the low-end, you get $6; at the high-end you get $7.60 earnings per share. So I understand that it's very unusual for all businesses to hit on all cylinders in exactly the same year. But in the unlikely event if that was to occur and you get to the high end of the range in each businesses then the potential earnings that exists is more like $7.50, not $6. Am I doing the math right?
Curtis Espeland: Yeah, Andy, the math is that the math is. So yeah we give you an EFO range if everything could peak out. We're just trying to be realistic, Andy, and you said it’s just the offering what the odds everything clicks at the same time, and if does, for how does it do it? And so we did our best shot, we took our best shot at giving you ranges for each of the businesses, if things are really clucked in for them what would the high-end be, maybe what the more excepted level would be, what gets you to the six bucks.
Andrew Feinman – Iridian Asset Management: Okay, well, I just wanted to make sure that all my --
Curtis Espeland: No, you're not missing anything.
Andrew Feinman – Iridian Asset Management: All the other analysts were doing the math.
Curtis Espeland: Right.
Andrew Feinman – Iridian Asset Management: Thanks.
Operator: And we'll go ahead and take a follow-up question from Amy Zhang with Goldman Sachs.
Amy Zhang – Goldman Sachs: Thanks for taking my follow-up question. One very quick, so the 2012, the EPS numbers were at $6 or $7, $7.50. Do you think that’s a peak earning power or it is just more like recover your earning power?
Curtis Espeland: No, I would not call it peak. I mean for example that didn’t have PCI hitting the peak of its cycle. I mean I guess, and when I say I wouldn’t call it peak, I'm working of the $6. So, I love the way Andy looks at the math but again we try to be realistic on how we see things are coming together and what's like to be come together at the same time. So, but I certainly wouldn't call it the peak. If I am working off, I trough [ph] and then what most would say -- it was a pretty rough year. We should go back to the 30s. I am working on the trough [ph] of -- in the 350. When we can fill up these core businesses and then I really do expect to create quite a bit of value of 100's of millions we have in our balance sheet plus the free cash flow we should generate between now and then. It shouldn't stop at six bucks but we just try to pick a point in time that would have some credibility. If I start talking about 2015 or whatever that's -- I don't think that's going to be all that credible, but I don't see any reason why it just peaked out.
Amy Zhang – Goldman Sachs: Okay, sure, Jim that's very helpful answers in case I think the Michael [ph] has some misperception about your 2012 EPS, a lot of people I heard they talk about faster year for your peak earning power, which I personally don't agree. Thanks for the clarification.
Jim Rogers: I agree with you Amy. 2012 (inaudible) to us. Thank you.
Amy Zhang – Goldman Sachs: Thank you.
Operator: And there are no further questions. Thank you. At this time, I like to turn the conference over to back over to Mr. Riddle for any additional or closing remarks.
Greg Riddle: Okay, thanks Kelly. Thank you, everyone for joining us this morning. An audio replay of the conference call will be available on our website this afternoon and will be available through February 8. Have a great day.
Operator: And this does conclude today's conference. We thank you for your participation.